Operator: Greetings, and welcome to the Vuzix’s Second Quarter Ending June 30, 2021, Financial Results and Business Update Conference Call. [Operator Instructions] As a reminder, this call is being recorded. Now, I would like to turn the call over to Ed McGregor, Director of Investor Relations at Vuzix. Mr. McGregor, you may begin.
Ed McGregor: Good afternoon, everyone, and welcome to the Vuzix second quarter 2021 ending June 30 financial results and business update conference call. With us today are Vuzix’s CEO, Paul Travers; and CFO, Grant Russell. Before I turn the call over to Paul, I would like to remind you that on this call, management’s prepared remarks may contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements during the question-and-answer session. Therefore, the company claims the protection of the safe harbor for forward-looking statements that are contained in the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those contemplated by any forward-looking statements as a result of certain factors, including, but not limited to, general economic and business conditions, competitive factors, changes in business strategy or development plans, the ability to attract and retain qualified personnel, as well as changes in legal and regulatory requirements. In addition, any projections as to the company’s future performance represent management’s estimates as of today, August 9, 2021. Vuzix assumes no obligation to update these projections in the future as market conditions change. This afternoon, the company issued a press release announcing its financial results and filed its 10-Q with the SEC. So participants in this call who may not have already done so may wish to look at those documents as the company will provide a summary of the results discussed on today’s call. Today’s call may include certain non-GAAP financial measures. When required, reconciliation to the most directly comparable financial measure calculated and presented in accordance with GAAP can be found in the company’s Form 10-Q quarterly filing at sec.gov, which is also available at www.vuzix.com. I’ll now turn the call over to Vuzix’s CEO, Paul Travers, who will give an overview of the company’s operating results and business outlook. Paul will then turn the call over to Grant Russell, Vuzix’s CFO, who will provide an overview of the company’s second quarter financial results. We will then move onto the Q&A session and finally wrap up with a few closing remarks by Paul. Paul?
Paul Travers: Thank you, Ed. Hello everyone and welcome to the Vuzix’s second quarter 2021 conference call. 2021 has and will continue to be a transformative year for Vuzix. Product revenue over the first half of 2021 is up approximately 80% year-over-year, units sold are up 53% and revenue from our top 20 customers are up 73%. We ended the second quarter with roughly $138 million in cash. So our balance sheet remains in excellent health with ample cash to grow our business, drive ongoing product development and pursue strategic initiatives that expand our participation and business model. We’re seeing growth in all our major geographic regions driven by customer success within healthcare and the broader enterprise market segments. As we look to the back half of 2021, we expect growth of smart glasses adopting to continue as the industry continues to mature, despite the slightly lumpy nature of adoption. The smart glasses industry is expected to grow to millions of units on an annual basis over the next several years, the enterprise adoption is happening today and we’re witnessing earlier successes in stickiness across a variety of market verticals concentrated across numerous large organizations. And we are actively engaged in expanding and evolving our solutions and technologies to best capitalize on this projected growth. We recently established a new software integrated solutions business unit, which I’ll discuss further shortly and we’re evaluating potential strategic acquisitions with due diligence of these targets already under way. We posted 21% year-over-year growth of our core smart glasses business in our second quarter. Going forward, we expect sequentially stronger smart glasses revenue in our final two quarters of the year and beyond. We are seeing this growth coming from the medical space along with increasing momentum with our larger commercial customers as pre-COVID business opportunities begin coming online again. Additionally, our OEM program engagements are progressing and we expect to see follow on NRE programs and product supply agreements with the shipment of initial production units this year. During the second quarter, we continue to see strengthening in our core smart glasses business from some of our largest repeat customers, which continue to be a driving force of our base business on a quarterly basis. Our largest 2% of customers have accounted for approximately 45% of our enterprise smart glasses revenue over the last 18 months with customers like Medtronic, KDDI, USAA, Clorox, Johnson & Johnson and Becton, Dickinson along with some large and as yet unnamed U.S. general merchandisers leading the way. Before COVID, logistics was one of the largest and most active market verticals for Vuzix smart glasses. Our customer success team has now been back onsite and in regular communications with several notable name brand customers involved in the retail stores, distribution centers, third-party logistics, warehousing and inventory management. Most of these accounts and some new ones are driving forward again and are focused on scaling up to gain the efficiencies that deploying smart glasses will afford. According to marketwatch.com, augmented reality and virtual reality in the global healthcare market alone is expected to reach $6 billion in value by the year 2025. This continues to be one of our fastest growing market verticals and accounted for approximately 25% of our total revenue in Q2. In terms of comparison, our second quarter healthcare-related smart glasses sales increased 240% year-over-year as the use of Vuzix supported surgical solutions continues to settle the expand and we expect further growth to continue into the foreseeable future. Medacta based in Switzerland is a Vuzix smart glasses-based augmented reality surgical platform provider that has spent considerable time over the last year working with regulatory agencies. In June, 2021 Medacta received European CE marking for knee, shoulder and spine surgeries using its NextAR solution and as received FDA clearance for shoulder, as well as knee surgery in the United States. In July surgeons in both the U.S. and Europe completed the first total shoulder replacement surgeries using NextAR augmented reality surgical application, which is based on the Vuzix’s Blade Smart Glasses. Medacta has now turned its focus to expanding its commercial sales and gaining traction within the surgical community. Medtronic, the world’s largest medical device company and a global user of Vuzix smart glasses continue to order at a robust pace in the second quarter to support their medical techs and surgeons in the field. Medtronic now has hundreds of M400s deployed in the operating theaters around the world. Ohana One a global surgical training non-profit organization also continues to expand their uses of our smart glasses. Through July, 2021 a total of over 900 surgical calls have been placed over Vuzix smart glasses, which were used to connect more than 100 surgeons across five specialty areas, including neurosurgeons, general and colorectal surgeons, adult and pediatric orthopedic surgeons and plastic and reconstructive surgeons. Ohana’s goal is to have their program growth to 1,000 mentor mentee pairs using smart glasses, and they are already deployed to some level in over three dozen countries. Pixee Médical based in France is another Vuzix smart glasses based augmented reality surgical platform provider that is also gaining commercial traction. Pixee received their FDA clearance in April 2021 after spending considerable time over the last year supporting regulatory agencies to expand on their European CE marking received in May of 2020. Pixee Médical has now also turned its primary focus towards commercial sales and continued market expansion within the surgical community. Over the last six months, Pixee Médical has expanded to 10 countries, added 20 distributors and has completed many hundreds of surgeries using Vuzix smart glasses. Rods & Cones, a provider of a fully virtual surgical collaboration platform placed $1.2 million order for Vuzix M400 smart glasses in Q2 with monthly shipments scheduled to occur over the balance of the year. These monthly shipments remain on track and will support the firm’s customer expansion plans, both across Europe and the United States. Beyond these medical focus software firms, we are engaged with other leading device companies in this space. Again, smart glasses usage and telemedicine, particularly within the operating room alone, represents a significant market opportunity with Vuzix over the next several years. And we intend to be a dominant solution supplier into this space. As Slide 8 illustrates, we currently generate the bulk of our revenues from the sale of smart glasses hardware, but maintain the longer-term objective of creating a base of business that will be driven by three indicated buckets of smart glasses hardware smart glasses as software and OEM supply to the broader markets. As the market for enterprise smart glasses continues to gain momentum, Vuzix is spending considerable time and effort to transform our business model beyond a focus on smart glasses hardware, by moving upstream closer to the customer with a complete solution. In particular, the ability to generate meaningful SaaS-based revenue centered around our smart glasses over the long haul with our software partners and ourselves will provide us with not only a substantially larger revenue base, but one that is recurring and with much higher margins. We have adopted a three-pronged approach that will drive the changes required across the company to make this happen. Vuzix will continue to invest in our core business, including smart glasses, software and customer service to help accelerate smart glasses sales and industry adoption. We are continuing the development of our next-generation smart glasses and are on track to deliver our first EBT units before the end of this year. We have also been working on enhancing our core M-Series solutions with new line extensions and models currently being aggressively worked on. We are also increasing our engagement and service levels with our major enterprise customers and partners to complete the final steps in support of large scale enterprise wide rollouts. Building out our internal infrastructure through key hires has been another primary focus for us this year. Most notably, we brought Pete Jameson onboard as our General Manager earlier this year. Pete is a proven hands-on executive with a track record of building and scaling multi-billion dollar B2B and consumer growth businesses and has done a standout job thus far supporting our efforts to bring our capabilities to the next level. We have also made key additions to our engineering, software and sales team that will expand our abilities to produce support and sell our solutions. We are pursuing both organic and inorganic opportunities for enterprise business solutions to expand our participation in the overall value chain with our end customers. On the organic front, we recently announced the creation of an Integrated Solutions Business Unit. Vuzix's ISBU will be focused on the acceleration of enterprise centric solutions, the development of new tools to support our current and future partners and building SaaS-based solutions for business opportunities and various new and underserved market verticals. This new business unit will be led by Pano Spiliotis. Pano has wide experience in the electro-optical field with areas of expertise in software development, sales and marketing, strategic planning and development of strategic partnership alliances with large organizations. The new business unit has specific revenue and EBITDA achievement targets in place for significant portions of management equity compensation to incentivize success. And we expect the ISBU will drive significant value for our customers, partners and shareholders over time. Regarding inorganic opportunities, there are numerous SaaS-based solutions that exist across multiple market verticals, where Vuzix focusing. We believe that the fundamental problems being solved within healthcare today and ROI is being delivered by Smart Glasses to a general and specialty surgeries, both financially and for better outcomes for the patient, but ultimately represent significant revenue on an annual basis. As it rapidly becomes one of the standard tools for providing patient care over the next three to five years. We also believe so strongly in the future of Smart Glasses in healthcare that we have a focus on SaaS-based growth in this market and are well into due diligence in this space. This business could deliver significant, accretive, high margin revenue streams for Vuzix and bring Vuzix even closer to the customer, not only as a hardware supplier, but also as a solutions provider in the medical space. And finally, we are advancing our core technologies to enable our own products, grow our OEM business and supply to the broader markets. Our core technologies, which includes optics, displays and systems represents the keys to the kingdom for future AR Smart Glasses and related solutions across the entire space. As this industry achieves even larger scale, the control and ownership of these key technologies will significantly enhance our company's value. Vuzix continues to steadily develop some of this cornerstone technology internally, and I'm pleased to report that our most recent patent and patent pending numbers reach a record 210, well above last summer total of live 166. Last and perhaps most importantly, we have begun the due diligence phase in evaluating a potential investment and an eventual ownership of a disruptive nano electro optical technology. We believe that this new technology has the potential to work seamlessly with our waveguide tech and ultimately could unlock significant additional long-term shareholder value. We are making solid progress on our key operating goals for 2021. As it relates to growing sales and the deployment order size of our MSeries and Blade Smart Glasses, we continue to see follow on orders from our customer base and expect year-over-year revenue growth over the remainder of 2021. As for increasing SaaS-based revenue through acquisitions and internally developed software, we've hit the ground running with our recently announced Integrated Solutions Business Unit, as previously mentioned, and we are completing due diligence on that potential acquisition that would deliver high margin SaaS-based revenue streams initially focused in the medical space. On the development of our core smart glasses products, the new versions are on track for production release as early as the fourth quarter of 2021. Our next generation microLED-based smart glasses are on track for planned introductions to key customers before the end of the year. Our OEM program engagements are progressing and we expect to share follow on NRE programs and product supply agreements with the shipment of initial production units this year. During 2021, we have already increased our IP portfolio from 184 to 210 patents, which is up on 166 a year ago, and 90 three years ago. Over the remainder of this year, we will continue to add to our IP portfolio with the focus on our next generation smart glasses, microLED-based display and in technology and waveguide optics. I'd like to now pass the call over to Grant for his financial review. Grant?
Grant Russell: Thank you, Paul. As Ed mentioned, the 10-Q we filed this afternoon with the SEC offers a detailed explanation of our quarterly financials. So I’m just going to provide you with a bit of color on some of the numbers now. Sales of smart glasses for the three months ended June 30, 2021, rose 21% in the period to $2.8 million led by at 22% increase year-over-year in unit sales in the M400 smart glasses and a 77% year-over-year increase in Blade smart glasses revenues. Engineering services for the second quarter of 2021 declined by $0.6 million to $0.1 million as prior development contracts were completed earlier and no new ones have commenced as of yet in 2021. Our overall second quarter’s total revenues for the three months ended June 30, 2021 declined 4% over the prior year's period to $2.9 million. There was an overall gross profit of $0.6 million or 20% for the three months ended June 30, 2021 as compared to a gross profit of $0.8 million or 26% for the same period in 2020. The decline was mainly due to a gross profit decrease of $0.5 million from engineering services for the 2021 period versus 2020, our revenue segment in which the company currently earns its highest margins. Direct product gross margins before overheads and other items have its 53% of sales in the 2021 period as compared to 50% in the prior year's period. Research and development expense was $2.7 million for the three months ended June 30, 2021 versus $1.18 million for the comparable 2020 period, an increase of approximately 50% and consistent with this spending guidance provided on our last earnings call. The rise in R&D expense was largely driven by increases in salaries due to additional headcount, increased non-cash stock compensation expense and higher research and development costs related to new product development and regulatory compliance fees. Selling and marketing expense for the three months ended June 30, 2021 rose 68% year-over-year to $1.3 million, due to increase sales and marketing staff, increases in non-cash stock compensation expenses and increased advertising and marketing expenses. General and administrative expense for the three months ended June 30, 2021 was $4.7 million, an increase of 164% or $2.9 million. The increase in G&A expense with primarily due to increased non-cash stock compensation expenses related to the company's new performance-based long-term incentive plan or LTIP, which was not in place in 2020, along with increases in shareholder communication and insurance cost. Total operating costs for the three months ended June 30, 2021 increased by $4.3 million over the same period in 2020 of which approximately $3 million of the increase was due to non-cash stock compensation and primarily related to the company's new performance-based LTIP introduced in March 2021. The net loss for the three months ended June 30, 2021 was $8.8 million or $0.14 per share versus a net loss of $4.7 million or $0.13 per share for the same period in 2020. Our balance sheet remains strong with cash and cash equivalents position of $137.6 million as of June 30, 2021, and a net working capital position of $147.9 million. Cash used in operations, excluding changes in our working capital totaled $4.6 million in second quarter of 2021 as compared to $2.9 million in 2020. Cash used for investing activities for the second quarter of 2021 was $0.5 million as compared to $0.4 million in the prior year period. For three months ended June 30, 2021, we received $12 million in equity financing, pursuant to the full exercise by the underwriters of their overallotment option related to our March 2021 common stock offering. As of June 30, 2021, the company does not have any current or long-term debt obligations outstanding. Looking forward to the balance for 2021, we expect investing activities to accelerate in the second half of this year, as we tool and complete further development or new products and IP, this would exclude any amounts that could be invested for the ultimate closing in the second half of 2021 of two potential transactions, mentioned by Paul earlier that are currently undergoing due diligence. We, as well currently expect to increase R&D spending in our third and fourth quarters over Q2 2021 up by at least 50% over the 2020 comparable levels. Further, we intend to incur additional spending on sales and marketing activities, particularly overseas, where we see many opportunities for growth. In both these operating expense areas, there will be new hires in the upcoming quarters as part of the new team for the Integrated Solutions Business Unit, as it scales up. And of course, we will see further year-over-year increases in our non-cash operating expenses of approximately $2.3 million per quarter, related to the new performance-based long-term incentive plan. With that, I would like to turn the call back over to Paul.
Paul Travers: Thank you, Grant. I would like to now turn the call over to the Operator for Q&A.
Operator: [Operator Instructions] Our first question is coming from the line of Matt VanVliet with BTIG. Please proceed with your question.
Matt VanVliet: Hi, good afternoon guys. Thanks for taking the question. I guess wanted to follow-up on the recent announcement about the Integrated Business Unit and the potential for ad-on SaaS development and products in conjunction with that. And looking over the next several years, I guess how should we think about the way you're going to monetize that, ultimately or kind of mix of revenue is that potentially going to represent? And does it impact in any way the pricing mechanism that you're going to go-to-market with the glasses or is that all be additive at this point?
Paul Travers: At this point – yes, Matt, thanks for the question. At this point, it's – I would look at it as if it's additive. Who knows as those business units unfold and the software and the SaaS-based applications just come out. There could be certain areas because they're selling things as a bundle where it might look a bit differently than that. But currently, I would just think about it as additive. It's the easiest way to do that. The ISBU will actually have a couple of kinds of revenues there you might imagine for there's lots of ways to identify a vertical market to be in. And then some of them, we have customers coming to us saying, we need a solution that does this. These customers are willing to pay to get the engineering done. So it solves that problem. But then ultimately, that's going to be part of a base software application that use excels that has recurring revenues that will be recurring on an annualized basis on a monthly run rate across the year. And that will all be on top of a piece of hardware that gets sold.
Matt VanVliet: All right. Very helpful. And then, you've talked a lot about the success you've been having recently in the healthcare group. I guess, as we think about the specific units skews that are showing the most volume there I think some of the examples have used the Blade as an integrated model, but looking in the queue quickly, it looks like the MSeries are still the significant portion of sales and really driving the most growth. So curious in terms of what the longevity of the Blade and some of the relationships you have in the healthcare industry there and how we should think about the overall mix between the MSeries and the Blades on a go-forward basis?
Paul Travers: In an operating theater, there's some really nice features that the Blade has – excuse me that the M400 has that works well with the PPE equipment and the rest of the equipment guys that are operating, doing open heart surgery or endoscopic surgery and the likes. So the M400 is the flagship still. With that said, the Blade also has some features in certain areas where it kind of stands out on its own because of certain aspects of its wearability and the see-through nature of it. The bulk of the business that we're seeing in medical is M400, and we think M4000, ultimately, especially with some of the newer software applications that are coming in around it. So we should look at the MSeries. That's really the lead horse in medical.
Matt VanVliet: All right, great. Thanks for taking my questions. I'll jump back in the queue.
Paul Travers: Okay. Thanks, Matt.
Operator: Thank you. Our next question comes from Christian Schwab with Craig-Hallum Capital Group. Please proceed with your question.
Christian Schwab: Hey, good afternoon guys. Thanks for the slide presentation. I guess when I'm looking at Page 4 of the slide presentation and in the commentary and the prepared comments, I'm just trying to figure out, can you give us a range of revenue outcome that you expect for the year in 2021 and what type of growth rates we should really be thinking about in the second half of 2021 versus the second half of 2020?
Grant Russell: Yes. 2021 should continue to see consecutive growth as we move from our second quarter. Some of the business in the second quarter was timing related, frankly. That said, none of the SaaS-based software that we expect ultimately will start to add to the revenue stream. I would count in a second, especially in the third and fourth quarter of this year, even though some might be there. So you're probably going to be a little bit softer match. I think it's right in line, Christian, with the numbers that we discussed in the past. I think you look at the 3 million to 4 million units for the kind of a numbers, and then more in the fourth quarter.
Christian Schwab: Okay. Okay.
Grant Russell: That’s hard forecast there. Sorry.
Christian Schwab: Yes. No, I appreciate that. I guess if we sum up those numbers, I mean, could Q4 be big enough to do $20 plus million this year? Is that a little bit too optimistic and it may take too many things going in the right direction right now?
Paul Travers: It would take some things going in the right direction. I mean, it's not impossible to see that some of the business we had could do that, but I mean, I can't, we certainly would not give that advice right now, because there's question marks on the timing for it. And unfortunately, this industry is zero down. It's coming. You can see it, our business continues to grow and move forward. And the size of some of the things that we're talking about are getting bigger and bigger without doubt. It's only a question of, is it this month, the next month, in and out based upon the timing. Yes. It could be there Christian, but we'd have to really work to make that happen.
Christian Schwab: Okay. That's fair. And I guess my second question has to do with strategic acquisitions. At this, can you give us any direction of what you think the company could tremendously benefit from as far as a technology or a path to increase revenue yourself with new customers? Can give us a little bit more color about what you guys are thinking about in doing due diligence on?
Paul Travers: I would tell you that the two things you just asked about are characterized exactly by the acquisitions, we’re looking at. One of them is a software oriented solution. You sell as an example, you might sell an M400 for x amount of dollars, and you would get on a recurring revenue basis on an annualized basis, six to seven times that for the use of the software and this solution that it brings to the table. So you could consider that pretty accretive on the top line. And it's also got great margin, as you might imagine for the software. On the technology side, Vuzix is going to make glasses ultimately that look like Oakley's, it's been our mission for the beginning, since we've been working with the special forces [indiscernible] and we don't have the budget that some great, great big companies that are out there, but we're really smart with how we spend our money. And we've been looking at technologies for a long time. And on that front, some of the tech areas I think is, owning a catapult forward, what we're trying to do to get to that those form factors. What we have today is already really pretty amazing, but some of the stuff that we're looking at I think takes it to another level. To a level, I think Christian, that you could almost anticipate what we're doing being in the bulk of the smart glasses systems that might be on the marketplace because it's that game changing, I believe.
Christian Schwab: Great. Thanks. No other questions. Thanks guys.
Operator: Thank you. Our next question comes from Jim McIlree with Dawson James. Please proceed with your question.
Jim McIlree: Thank you, and good afternoon. Paul, in your remarks, I think you mentioned a couple of times OEM production revenues, is that the Tier 1 defense supplier that we've been waiting for and it has a contract to be signed? Or is that you anticipate a contract to be signed in production revenues to occur?
Paul Travers: It is exactly the one. And we're literally at the point in the game where the devices that we're delivering are being looked at as if they're production devices, and we are knock on wood very, very soon should be in a position to where we have the supply agreement signed.
Jim McIlree: Well, that would be fantastic. I'll pre congratulate you on that. The services revenue, I know it's lumpy, and I know it depends on when you sign things, but is there – are there more service contracts coming this year? Or is it reasonable to think that there are more service contracts coming this year?
Paul Travers: There should be. I will say that some of the base optics and engines that we’re delivering now are getting good enough, that folks are not really asking for much of a change in it. So they might be looking more like their products and ask or whatever, although they’re going at the very early gizmos. But that said you should expect some more before the year’s up.
Jim McIlree: Can I rephrase that and see if I understand what you’re saying correctly? So you’ve built up enough of a base of let’s call it standard equipment that customers don’t need to customize something.
Paul Travers: Yes. They can get going with what we have.
Jim McIlree: Got it. Okay. And Grant your comments on head count increasing in the second half. Can you tell us what head count was at the end of Q2 and what you think it might be at the end of Q4?
Grant Russell: Well, I think we’re just now total of about 110 people globally. And we could see that probably increasing by good 15 people by year’s end. And to well over 75% of them will be on the R&D softwares side of the house, which includes the new integrated Software Solutions division.
Jim McIlree: And that 75% number you just mentioned that applies to the increase, not to the total.
Grant Russell: Yes. I’m saying, of the 15 people we expect to add by then, 75% of those individuals in the R&D for software development, customer support, part of that deal that we have.
Jim McIlree: Got it. And just, I know you’re not going to give me too much on the two potential acquisitions, but maybe you can talk a little bit about the philosophy you have on acquisitions. If it’s – I’m just going to throw some softballs here. Is it product driven? Is it financially driven? Is it strategically driven? Is it competition driven? If you can just flesh out a little bit what you’re looking for when you think about acquisitions.
Paul Travers: We don’t do it just for the money. I will say that it’s nice to see that there’s a business model that that makes sense, but we’re doing it based upon business models that have a long-term play opportunities to be in organizations that could go into the potential to be in the billions even. If you look at the medical space today, it’s for smart glasses, Jim, it’s really high. It’s growing all over the place and the number of analysts that are predicting, billions of plus dollar industries being created out of it. So that’s why we have an interest in that space. And we wouldn’t acquire a company just because it had some revenue level that it could add to our top line right now it’s moving as we’re building a business that we want to own the smart glasses industry. And so it’s really got to be connected to what we do. And on the technology front, we’ve seen a lot of stuff. We can add this for years now. It’s got to be pretty darn special to ring the bell for us. And there’s some stuff – when you’re here long enough, you get to see a lot of things that are behind closed doors and in people’s closets. And some of the stuff – there’s a little bit of stuff out there that’s quite amazing. And that’s the stuff that Vuzix looks at.
Jim McIlree: And can you frame it in a – can you frame the size? So if somebody came to you and said, we want $50 million of your pot of gold, you would tell them no way in the world. But $20 million, might work, can you phrase it, can you frame it for us?
Paul Travers: Are you talking about the dollar sizes we might spend on an acquisition?
Jim McIlree: Yes.
Paul Travers: So let me say that the two transactions that we’re looking at right now there’s a significant portion of the acquisition component that comes from equity. So it should not impact much the cash position that Vuzix is now. A bunch of reasons for it, I mean, these guys, like the Vuzix’s, it isn’t like, a takeover kind of a thing. These are folks that really believe in our vision and we believe in theirs. And so they’re in it to win it with us. So a fair amount of it’s not going to come out of our bank account. And then, the dollars to operate that’s a whole different story, I don’t want to get into all that.
Grant Russell: Just one further thing, Jim, on the equity component that Paul’s referring to, well over half in both cases is entirely based on performance. So, if they don’t achieve their revenue targets or milestone developments, they’re not going to receive the equity. So it’s...
Paul Travers: But we are – sorry, go ahead, Grant.
Grant Russell: That’s fine. I’ve made my – I’ve said my piece, Paul.
Paul Travers: Being supportive of the faults, we have every expectation that they would be successful, obviously.
Jim McIlree: Okay. Those are very helpful answers. Thank you so much and good luck with everything.
Paul Travers: Thanks Jim.
Operator: Thank you. Our next question comes from the line of Jack Vander Aarde with Maxim Group. Please proceed with your question.
Jack Vander Aarde: Great. Hey guys appreciate the quarterly update. Thanks for taking my questions. So Paul, I’d also like to just touch on the OEM projects. Aside from the comments you already provided on the main one that comes to my mind that Tier 1 aerospace customer, they completed all four phases. But maybe could you share an update on those – I think last quarter, the other four OEM products that you had discussed, there were at various stages last quarter. Do you expect any of those other four or if there’s any more to reach Phase 4 or Phase 3 or beyond in the next six months, 12 months, whatever you can share would be helpful. Thanks.
Paul Travers: So there’s – I’ll be frank, I can’t remember exactly everybody that was in that last box. Okay. I’d have to go back to give you an accurate answer. I can tell you that there have been zero folks that we’re working with, come to Vuzix and say, we’re moving on, so all of these things are there. There’s been a couple more, come on and saying, can you get us this, can you get us this, we’re quoting on that business, so there’s a bit new. And then some of those folks out of that group are coming back saying, I need more please. So it’s a portion of those folks for sure. And it’s one or two new folks and the bulk of it, by far as, defense-oriented folks.
Jack Vander Aarde: Okay, cool. That’s helpful. I appreciate that. And then just sort of similarly, but separately can you maybe – you obviously have a ton of cash. You talked about some acquisition plans. Can you remind us of your existing production capacity and the number of facilities? And then, maybe what your plans are for building out future production capacity ahead of demand. What does that mean expanding an existing facility or building out a new facility all together? Just anything you can provide there and give associated timeline of what that might mean.
Paul Travers: Yes, it’s funny. I talked with the landlord about more space, so that you probably would see that on our future. That said, the current facility with moving some things around has the ability to expand our production. We’ve got some areas that are being used for other things right now that we can move. The capacity, they’ll depends upon what you’re making, but if we’re running multiple shifts somewhere between 50, 75 upwards of a 100,000 gizmos could get made. If you figure the average selling price is about $1,000 to $1,500 per that can easily get you the run rate. So we’re sitting in a pretty good spot right now to get revenues to between $50 million and $100 million with our current facilities.
Jack Vander Aarde: And that’s just on the hardware side, but exclude any anciliary software derive revenues. Okay, cool. I appreciate the additional color. I’ll hop back in the queue. Thanks.
Paul Travers: Thank you.
Operator: Thank you. At this point, I will turn the call back to Paul Travers for final remarks.
Paul Travers: Thank you everybody. We really appreciate the support of Vuzix. We appreciate the enthusiasm. We know it’s an interesting industry to be in. I can tell you without doubt, Vuzix is in one of the coolest, hottest, it’s going to be the fastest growing industries coming. It’s talked about by everybody, and we’re seeing it all over the place. We look forward to the second half of this year, sharing a lot with you. There should be a lot of press releases and exciting things as the next two quarters unfold. Thanks again, we’ll talk in the future.
Operator: Ladies and gentlemen, this does conclude today’s teleconference and webcast. We thank you for your participation and you may disconnect at this time.